Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Invacare Second Quarter 2020 Conference Call and Webcast. After the management overview, we will open the call to questions. [Operator Instructions] This conference is being recorded Thursday, August 6, 2020. I will now turn the call over to Lois Lee, Invacare’s Director of Treasury, Investor Relations and Corporate Communications. Please go ahead.
Lois Lee: Thank you, Sarah. Joining me on today’s call from Invacare are Matt Monaghan, Chairman, President and Chief Executive Officer; and Kathy Leneghan, Senior Vice President and Chief Financial Officer. Today we will be reviewing our second quarter 2020 financial results and providing investors with an update on our transformation and our response to the COVID-19 pandemic. To help investors follow along, we have created slides to accompany this webcast. For those dialing in, you can find a link to our webcast slide presentations at invacare.com/investorrelations. Further information can be found in our SEC filings. Before Matt begins, I’d like to note that during today’s call we may make forward-looking statements about the company that by their nature address matters that are uncertain. Actual future results may differ materially from those expressed in our statements today due to various uncertainties and I refer you to the cautionary statements included on the second page of our webcast slide and in our second quarter earnings release. For an explanation of items discussed in today’s call that are considered to be non-GAAP financial information, such as constant currency net sales, constant currency SG&A, free cash flow, adjusted EBITDA and adjusted net loss, please see the notes in the appendix of our webcast slides and in the related reconciliations in the slides in the earnings release posted to our website. I will now turn the call over to Matt Monaghan.
Matt Monaghan: Thank you, Lois. Good morning to everyone. We’ll begin on Slide 3. First, I’d like to start today’s call by expressing my gratitude for all our associates who remain so committed in keeping our workplaces safe and productive in these uncertain times. As a company whose central focus is to make life experiences possible, their hard work, creativity and dedication has been inspiring. Invacare’s mission is built on the tenants of integrity, leadership, accountability and helping everyone be part of an inclusive culture around the world. We benefited the company from the diversity of our team, differences of individuals and the inspiring differences of people who rely on our products in their daily lives. We’re pleased with our performance in the second quarter, achieving our 11th consecutive quarter of year-over-year improvement in adjusted EBITDA as well as sequential improvement in adjusted EBITDA from first quarter. We effectively shed cost and managed cash to offset lower sales. During the quarter, we also overcame tremendous supply chain challenges primarily related to our respiratory products, which limited our ability to meet the extremely high demand for these products which are used for pandemic-related care. Turning to Slide 4. We’ve established a strong track record of enhancing profitability, this quarter delivering an 84% improvement in adjusted EBITDA. The profitability grew as a result of stronger gross margin from favorable sales mix, cost savings from continuous improvement initiatives and reduced SG&A expense. I’m pleased with our strong performance in this challenging environment, which highlights the value of changes we continue to make. On Slide 5. We saw two distinct patterns driving demand as a result of the pandemic. Beginning in late first quarter, we saw strong demand in our respiratory category for both stationary and portable oxygen concentrator. That elevated demand continues today. We had a smaller peak in demand for bed systems in our lifestyles category. At this point, for the most part, that peak in bed demand has passed. The timing of the return to more normal sales rate and mix for these product groups are still to be determined based on the course that the pandemic takes from here. In mobility and seating, the good momentum we had in the first quarter began to slow in early parts of second quarter as public health restrictions limited access to clinicians for custom fitting, which reduced sales. Looking ahead, we see encouraging signs that demand for mobility and seating products is starting to recover as third quarter quote and order rates are improving over second quarter numbers. In summary, we believe the second quarter will be a low point for sales in the year as it coincided with the most restrictive phases of the global lockdown. Based on reasonable assumptions around the loosening of public health restrictions and renewing the access to health care facilities, we anticipate sales will begin to normalize over the next two to three quarters. We’re confident that our diverse product portfolio, geographic coverage, continuous improvement initiatives and balance sheet will enable us to manage the business through the pandemic and accelerate our return to growth. Turning to Slide 6. Second quarter results show that our transformation is working. Importantly, North America returned to profitability and generated $4.8 million in operating income in an unprecedentedly tough market. As a reminder, the North America segment has been undergoing a multiyear transformation after the impact of national competitive bidding and sales restrictions related to the FDA consent decree, which combined to significantly reduce sales and profitability starting nearly a decade ago. In terms of our business optimization plans, we continue to make good progress on our IT modernization program in North America and plant consolidation in Germany, both of which are expected to drive significant cost savings in 2021. As new products are key drivers of sales growth, it’s important to have a vibrant R&D pipeline, and we do. I’m proud of the team staying on track to develop and launch innovative new products at the same pace and keeping to the pre pandemic schedule, which highlights our R&D strength. Over the past few quarters, we have launched three major power wheelchairs, all of which have achieved steady growth in their short time in the market. This quarter, we launched another, the MPS Mini Maxx wheelchair with standing capabilities for small drivers, which is eligible for full reimbursement within the U.S. Group III category. Our Adaptive Switch Labs division, which produces sophisticated alternative controls for wheelchair drivers with highly unique need, launched a great new head array. And in July, in North America, we launched the SMOOV one, a terrific power add-on for manual wheelchairs, which has already achieved great success in Europe. All these products as well as a very full pipeline of innovation in all categories will continue to support growth wherever people need durable health care solutions. During the pandemic, our team has found creative ways to support our customers and to drive sales by leveraging telepresence technology. The LiNX wheelchair control system helps us perform contactless wheelchair delivery, and our assurance program offers a fit guarantee, giving customers the confidence to choose Invacare power wheelchairs when clinical visits are restricted. In Europe, we upgraded our online presence by launching a digital catalog, a product visualizer and a new website. These are just a few of the ways our commercial team has maintained high customer engagement while complying with safe public health measures. I’m proud of the continued progress we’ve made on our transformation and of our ability to execute under challenging circumstances, a well developed skill over the past many years. Our powerful innovation culture is enabling adaptation and growth. I’ll now turn the call over to Kathy.
Kathy Leneghan: Thanks, Matt. Turning to Slide 8. Reported net sales decreased 16.8% and constant currency net sales decreased 12.9%, primarily driven by growth in respiratory and more than offset by declines in mobility and seating and non-bed lifestyle products. Gross profit increased 130 basis points to 28.9%, primarily due to favorable product mix and lower material and freight costs, partially offset by unfavorable foreign exchange. Constant currency SG&A decreased 13.2% or $8.8 million, driven by reduced employment cost and lower commercial expenses. Lower employment cost included the benefit of reduced work hours and furloughs enabled by government-based programs to mitigate the impact of the pandemic. Operating loss improved by $2.3 million, driven by reduced SG&A expenses, partially offset by lower net sales and higher restructuring costs. Adjusted EBITDA was $6.6 million, up nearly 84%, driven by reduced SG&A expense and improved gross profit as a percentage of sales. The company’s free cash flow usage was $1.9 million, an increase of $2.1 million due to higher capital expenditures. Turning to Slide 9. As Matt discussed, consolidated net sales declined due to public health restrictions that limited access to health care professionals and elective care, with the greatest impact on mobility and seating. While mobility and seating net sales declined, the company expects sequential growth as quotes and orders in the third quarter have been higher than the run rate achieved in the second quarter of 2020. Within the lifestyles product category, higher sales of pandemic-related bed systems sold in the home care market were offset by lower sales of other lifestyle products as a result of limited access to health care institutions, including long-term care facilities. In respiratory, the company realized higher demand for both stationary and portable oxygen concentrators, with sales limited by global supply chain challenges, which dampened manufacturing capacity. The company expects elevated demand for respiratory products to continue through the third quarter, but it’s possible that clients from COVID-19 infections lessen. Turning to Slide 10. During the second quarter, net sales were negatively impacted by strict quarantining measures in the company’s key European markets, primarily the UK, France and Germany. As a result, reported net sales in Europe decreased 24% and constant currency net sales decreased 20.7%, driven by declines in sales in mobility and seating and non-bed lifestyle products. Gross profit decreased 90 basis points, driven by unfavorable product mix. Operating income decreased $3.3 million due to reduced gross profit from the lower net sales and unfavorable foreign exchange, partially offset by reduced SG&A expenses and a gain recognized on the sale of a German facility. Lower SG&A expenses included the benefit of furloughs and reduced work hours implemented at a majority of the European locations. Moving to Slide 11. The company was not as impactful – I’m sorry, the pandemic was not as impactful in North America as compared to Europe as the U.S. was never fully shut down. Reported net sales decreased 3.3% and constant currency net sales decreased 3% with growth in respiratory products more than offset by declines in mobility and seating and non-bed lifestyle products. Within mobility and seating, higher value power mobility products were resilient, only experiencing a slight decline of 1%. The North America segment realized a favorable mix shift towards higher acuity products as end users with more severe needs continued to access health care, while less urgent elective care was more often delayed. Gross profit increased 230 basis points or $2.4 million, driven by favorable product mix and lower operational costs, including reduced material and freight costs as a result of previous transformation initiatives. The North America segment returned to profitability with operating income of $4.8 million, an improvement of $6.1 million, driven primarily by lower SG&A expenses primarily in employment costs and the benefit of reduced operational costs. Turning to Slide 12. All other, which comprises of sales in the Asia-Pacific region, increased by 8.1% on a constant currency basis, driven by higher sales of lifestyle and mobility and seating products. Operating loss increased by $300,000, driven by higher corporate SG&A expense primarily related to equity compensation, partially offset by improved operating income in the Asia-Pacific business attributable to lower SG&A expense. Moving to Slide 13. As of June 30, 2020, the company had total debt of $319 million, excluding operating lease obligations of $15.9 million capitalized on the balance sheet. At the end of the quarter, the company had approximately $104 million of cash on its balance sheet. The increase was primarily the result of cash borrowed on the company’s credit facilities, proceeds from the sale of Dynamic Controls and government loan programs, partially offset by cash used to fund operations and cash paid to extend a portion of the convertible debt. In the second quarter, the company extended the maturity of a significant portion of the 2021 convertible note and a portion of the 2022 convertible note to new maturity date of November 24, with terms substantially similar to the existing 2024 notes. We are very pleased to have executed this transaction during a turbulent market. On Slide 14, we are reintroducing new full year guidance for 2020. Based on the loosening of public health restrictions and renewed access to health care facilities, the company anticipates reported net sales in the range of $810 million to $840 million, adjusted EBITDA similar to the prior year in the range of $20 million to $30 million and free cash flow usage in line with the prior year in the range of $7 million to $10 million. This guidance assumes consolidated net sales to improve sequentially, staying below the prior year. Due to the more stringent quarantine programs in the company’s key markets in Europe, net sales are expected to recover slowly, staying below the prior year in the range of mid- teen declines. In North America, net sales are expected to be below the prior year in the range of low single digit declines. Adjusted EBITDA is expected to improve sequentially and for the full year achieve results similar to 2019 despite lower net sales due to the pandemic. I will now turn the call back over to Matt.
Matt Monaghan: Thanks, Kathy. It was a good quarter in a tough time. We acted decisively to ensure the safety of our associates and customers while protecting our business against the near-term impact of the pandemic. This resulted in continued improvement in profitability, a significant achievement in these unprecedented times. As I look further out, I’m confident that the actions we’ve taken to improve our competitiveness, reduce our cost structure and strengthen our balance sheet have set the foundation for long-term profitable growth. It was the direct result of the many quarters of hard work that enabled our team to deliver a strong result this quarter and we plan to unlock additional value for years to come. Thanks for your continued support of Invacare and for taking time to this morning’s call. We’ll now take questions. Sarah?
Operator: [Operator Instructions] We’ll go ahead and take our first question from Bob Labick with CJS Securities.
Peter Lukas: Hi – on gross margins and the…
Matt Monaghan: Good morning, Bob.
Peter Lukas: Actually, it’s Peter for Bob. Good morning. Good morning, Matt.
Matt Monaghan: You cut out there for a second. Could you start the question over?
Peter Lukas: Sure. I just had a question on gross margins. Just where you see the opportunity over the next 12 months maybe by region, specifically how much room do you have in North America? And part 2, if you could also just talk about cost savings by region and where you see the opportunity.
Matt Monaghan: Yes. Good questions, Peter. A couple of things we’re doing in general, and then I think Kathy can comment also. Interesting consequence of the pandemic was that people who really needed health care that weren’t seeking elective or optional care, still accessed health care. And those kind of more complex cases need more complex equipment, which tends to be a little bit higher margin for us. So we had gross margin expansion during the pandemic really globally as a consequence of the pandemic. Not clear when that’s going to resolve based on how the pandemic progresses from here. And in addition, our new products generally provide more valuable clinical use to end users and customers. So there’s some mix of that gross margin that’s going to persist. And of course, if it receded at all due to a more normal mix, we’re still going to be continuing to work to offset that with cost reductions, which are part of our long-term plan. So I don’t know that I can really guide you to precisely on where gross margin is going to go, but we wanted to set a marker out there that said that during the pandemic some of that advancement in gross margin percent wasn’t only due to the ongoing cost reductions. There was a little bit of favorability as a result of product mix in the pandemic. And I would say based on that, it’s relatively hard to predict the difference between North America and Europe. Now we’ve previously indicated the value of our German plant consolidation in Europe, which I think, Kathy, is still slated to be...
Kathy Leneghan: About $5 million.
Matt Monaghan: $5 million, which we announced maybe five quarters ago, roughly. That’s on track pretty much to the day in terms of implementation. So we should see that really hit the P&L at the very end of this year and definitely all of 2021, is what we’re looking for. The IT improvement that will drive overall profitability in North America will be in place for 2021, and that’s both revenue synergies, which we haven’t predicted too well. We should be much easier to do business with, with the Amazon-like conveniences that we’ve all come accustomed to as consumers, and then lots of tools for productivity inside the company. So that’s really what’s in play for 2021 and probably beyond today’s material guidance. Did that help you, Peter?
Peter Lukas: Yes, great. Thanks And just one more from me. Any update on the upper respi, on the new product launch in terms of timing or expectations?
Matt Monaghan: Great expectations with a fantastic new product coming out in the third quarter. So we’ll be debuting that here pretty shortly. It’s progressed surprisingly well in the pandemic with so many people working remotely. I think everyone around the world is figuring out new ways to do work. And one of the questions was: how does innovation progress when you normally have people congregating around prototypes and fiddling with parts and collaborating on designs? And despite being entirely remote during this period, we’ve had no change in the respiratory product launch time line or the launch time line of any of our products. Really, great accolades to the team for figuring out new ways to be innovative. It’s been fantastic.
Peter Lukas: Very helpful. Thank you, and congrats again on the quarter.
Matt Monaghan: Thanks, Peter.
Operator: We’ll take our next question from Ross Osborn with Stephens.
Ross Osborn: Good morning. This is Ross on for Chris. Congrats on the great quarter.
Matt Monaghan: Good morning.
Ross Osborn: Matt, in your prepared remarks you noted that order rates for mobility and seating have been elevated globally in 3Q versus the 2Q. Can you provide some more detail by region? I believe you said Europe sales as a whole are expected to be down in the mid-teens and North America are expected to be down low single digits. So if you could provide any more color on how mobility and seating kind of fits into the overall geographic trends, that would be great.
Matt Monaghan: Yes, we’ll give some amount of color. It turns out that maybe predictably or understandably it’s different by country. Different countries have different social circumstances and different public responses to the pandemic, which has absolutely affected access to health care, and therefore, sales of our products. So it turns out to be different by country. If we start with Europe, there are certain places – of course, you’d imagine Italy and Spain had a very early downturn as they closed their economy. Germany and France were kind of in the middle, I would say, in terms of getting – after early shutting down their economies and access to things like elective care and have started to improve. And the UK, surprisingly, has had quite a significant impact as maybe latest in the lessening of public health restrictions and the recovery of their economy. And at the other end of the spectrum, the Nordic markets continued kind of quite unchanged. And principally, that was because the way our part of health care is delivered in the Nordics tends to be very separate from where people get acute care. So if someone needs one of our products in Sweden or Norway, let’s say, they’re going to go to a very different physical location to get those products than someone with COVID might go to get care. And therefore, the public is generally not as concerned about going to get a wheelchair from Invacare for fear of being exposed to people with COVID. So a whole spectrum of change. I think what’s important for us has been to see enough signals in the return of mobility to say it’s not just a statistical aberration in the short-term. We want to see a consistent pattern of a month or months that quotes and order rates are improving across Europe in total. We do see that. Well, as I explained, it’s different country by country. And then in North America, the same kind of thing. It’s – we probably look at states a little bit. But I’d indicate we don’t have a particular exposure to any one state. So you kind of look at the composite. And we’re more than a month into improved quote and order rates in North America, which gives us confidence to kind of – for the sequential growth and the two to three quarter recovery that Kathy mentioned in her remark. Did that help?
Ross Osborn: Okay. Thank you for additional color there. And just one more and on respiratory. Does the company’s full year guidance assume that demand remains elevated throughout the rest of the year? And then should we expect Q2 to have been the kind of peak in sales there given where the pandemic is? And then just lastly, how is the supply chain issues kind of progressed with regards to respiratory? Thank you.
Matt Monaghan: Yes. Good questions. Calling the peak is really calling the pandemic, which is hard for us to do. We’ve been really pleased that customers around the world have trusted us with their urgent demand for respiratory products, both in stationary and portable devices to help their clients or patients with COVID symptoms, and that continues now very high for those products and we expect it to continue. I think the questions we’re all going to ask internally and externally are: as the pandemic continues to rise and incident rates in major economies – and predominantly, we’re a Northern Hemisphere company in terms of revenue. As we get into winter months, there is some likelihood that, that incident rate continues to be elevated, which we believe would lead us to have elevated demand for oxygen concentrators of all varieties. So there is a potential. I obviously can’t call where the pandemic is going to go better than other people, but there is a chance that this is going to continue for some time. And for now, we see no abatement in that elevated demand. In terms of supply chain issues, when we started in the second quarter to fulfill this demand, we had challenges getting components from our global suppliers, and they’re all over the world. They’re across Europe, the states in the United States and in Asia-Pacific. And if we had a component in Italy, you could imagine how hard it was to get that component in March and April, and that’s been resolved. But as we got into April and May, there were certain states on lockdown where our industrial looking components weren’t coming from businesses deemed essential, and those businesses had to close or figure out other ways to operate. So it cost us more to keep those vendors open and we had to make special arrangements to make sure that those components could get to us. And during the entire pandemic, probably every company that produces a product in the world knows that logistics cost and logistics availability has become very problematic. So I think by now, it’s less, but it takes 100% of components to still make a product. And while we maybe had problems with lots of components early, we still have a few nuisance things that we’re dealing with every day or every week. It’s certainly much more manageable than it was, but there are still things that are prohibiting us from meeting the elevated demand as immediately as we like and we’re still working on it. A great team working on it. We’ve got a small army of people every day that try to put out the fire that’s coming for the day. And the results are very evident. We could have easily turned in a zero for respiratory given the amount of problems that we had. It was not a windfall that we had such good results in respiratory this quarter. So hats off to the team.
Ross Osborn: Thank you.
Matt Monaghan: Thanks, Ross.
Operator: We’ll take our next question from Mike Matson with Needham.
David Saxon: Yes. Hi, good morning. This is David Saxon on for Mike. Thanks for taking the questions. Just a few this…
Matt Monaghan: Hi, David.
David Saxon: Yes, hi. Just a few this morning, just on the cost reduction initiatives. When you think about them, are there any that are more durable that could allow you to become a leaner company after the pandemic? And then can you quantify the benefit of some temporary cost reductions to the EBITDA?
Matt Monaghan: Yes. In terms of durable cost reductions, it’s interesting. So certainly, everybody has found new ways to be productive whether it’s – we can go down the P&L – whether it’s salespeople that work from home that are more productive because they’re spending less wheelchair time. We’re certainly going to try to make that more durable. And we think we found more useful ways to engage with customers that are more convenient for customers or delightful for customers that should persist. Certainly, we’re not spending money on airfare like we had. And maybe other forms of physically getting together to do training and customer engagement and end-user kind of activities will persist. On the supply chain side, we continue to work against the 2018 tariffs, and those things are very durable improvements. And quarter-by-quarter, we keep eliminating the final remaining dollars. That should improve gross margin. And as we look at other supply chain solutions that allow us to continue to produce during this period, we’re probably going to find some gross margin enhancements that work better for us. And everybody has been stretched a little bit at this time. And you’re exactly right, we’ve got to find ways to make most or all of that stick. Now some of the cost reductions are activity based. So as volume went down in some of our products, like we talked about seating and mobility, we’ve reduced the variable costs. And some of those variable costs will come back as volume increases. Some of those costs are fixed in nature. You might have cost at a facility that gets spread over whether the facility is working at 80% or 100%. So what we’re going to try to do is manage how much those snap back. And then in SG&A, of course, your selling cost will go down when sales go down because commission payments are lower. And there’s a lot of G&A activity that’s activity based, accounting, customer reviews, invoicing, collections, things like that, which will start to come up. But we found a lot of productive ways to make those activities occur with fewer people. So you’re right to observe that there’s a likelihood that those cost savings could be durable and incremental to what we had planned. We just don’t have a way right now to predict how much favorable those are. And what we’re going to do for the next two to three quarters as sales recover is try to manage to keep those down as the pressure of elevated activity in sales comes back, which is going to try to increase. So our goal for the next two to three quarters is to keep margin and profitability as close to the same as we’ve had. And maybe Kathy can talk about the programs that have helped us maintain this profitability around the world.
Kathy Leneghan: Yes. Primarily, in Europe, many of the governments offered assistance to the company, so we were able to take advantage of lower reduced work hours for our employees as the volume came down in Q2, as well as furloughs. So that was a benefit to the P&L from a European perspective of roughly $2 million in the quarter. As Matt has mentioned, as the business comes back though, some of those costs will be added back as people come back on board with the increased volume that we have seen in Q3. So obviously, that was a temporary benefit that we saw in Q2, but a good benefit as we were making our way through the pandemic and coming out of that with higher volume in Q3. That probably is the most significant I would have to say. Because as you can see from the North America performance, we actually had nice volume on the respiratory side of the house. We had nice volume on the power mobility side of the house. And so while we did ramp down some costs on the North America side, it wasn’t as prevalent as the European business, which you can see the European sales were down roughly about 20% in the quarter.
David Saxon: Great. That’s helpful. And then when you’re thinking about your portfolio, are there any other opportunities similar to the Dynamic Controls that might help you manage the balance sheet? And then I – just one last follow-up.
Matt Monaghan: Yes. On the balance sheet – I think we’re pretty comfortable with the balance sheet now getting us through the pandemic, getting us through obligations that are forecasted over the forecasting period. So really no indications there, anything I would say differently. We’re very comfortable with the actions that we took to get us to this point. Second quarter was a tough market to do equity/debt deals and we executed, I think, pretty nicely on behalf of shareholders to move some of that debt out to 2024 at a very good price premium. So that was really good. I think we’re fine for now. I don’t know – Kathy, other comments there?
Kathy Leneghan: No, I think we’re very happy with the portfolio that we have. We’ve seen nice improvement in the margins related to each of the three main product categories. There’s no discrete business similar to like CCL that you’d say you’d want to monetize. I think we’re very happy with the portfolio that we have right now.
David Saxon: Okay. And then lastly, just on gross margins. I mean, during the quarter it was above what we were modeling. So just wondering if you could comment on kind of how we should think about the third and fourth quarters. Thanks so much.
Kathy Leneghan: Yes. So in – you’re absolutely right. When we gave guidance at the end of the first quarter, we had anticipated that margins would decline in Q2. And what we actually saw in Q2 was a move to higher value products, higher-end power wheelchairs, higher-end beds, for the COVID higher-end respiratory products as well. So that was a pleasant surprise. I mean we were happy to see that. As the business continues to rebound in Q3 and Q4, we’re anticipating that the product mix will come down slightly just given less acuity products that we are going to sell into Q3 and Q4. And so because of that, we would anticipate an unfavorable product mix that would hit margins in Q3 and Q4, not significant, but it would be down versus the benefit that we would have seen in Q2. We also saw nice improvement year-over-year in material cost related to – tariffs was a portion of that as well as freight cost, and we would assume that, that would continue for Q3 and Q4 as well to offset that product mix. So we’re anticipating that margins will be down slightly, not significantly. There will be puts and takes to it. But overall should be down primarily just because of the mix and the mix of the product line within the business.
David Saxon: Great. Thanks for taking the questions.
Kathy Leneghan: No problem.
Matt Monaghan: Thanks, David.
Operator: We’ll take our next question from Matt Mishan with KeyBanc.
Brett Fishman: Hi, this is Brett Fishman on for Matt. Thanks very much for taking the questions. I just wanted to start off by following up on some of the dynamics in Europe. We were a little bit surprised by how different the revenue performance was there compared to in the U.S. and we’re just wondering if you could provide some more detail on what the biggest differences were between the two regions in 2Q, if there were any beyond just the timing and the magnitude of the shutdowns? And then how we should be thinking about the European recovery into 2021 in context of an overall return to pre COVID sales levels?
Matt Monaghan: Yes. Good questions. Pretty straightforward answer. The European – let’s call them European governments from the member of states were pretty organized in their response to the pandemic and the results that we see in terms of less human catastrophe was because they were more hermetically sealed, they took more cohesive actions. Their actions were more complete across their economies. And the benefit to humans was tougher economies, especially in Italy, Spain or, let’s say, Iberia, Germany, France and the United Kingdom. And those are major markets for us. Certainly, Germany, France, the United Kingdom, they’re all important to us. But those three in particular were severely shut down, which were probably wise things to do and affected our sales. But the benefit of that sudden shutdown, as public health officials will say, the more you do that upfront, the more smoother your economies should be able to recover because you get beyond the consequences of the pandemic. But we expect that the European markets will come back in an orderly fashion. Deeper down for a shorter period of time and more quickly back is probably what we would forecast.
Kathy Leneghan: No, the other – the only other thing I was going to add is that the European business has a pretty significant scooter business that would be part of mobility and seating. That is more of a seasonal business. And so, obviously, the season is probably Q2 and Q3. So that also would have been an impact that you would have seen for Europe. It’s not in the U.S. because we really don’t sell scooters in the U.S.
Brett Fishman: All right. Thanks for that color. And then moving to the balance sheet. We noticed a fairly material step-up in inventory. I’m just wondering in order of magnitude if that was more of a reflection of building inventory in areas where demand is expected to be stronger or if it’s more related to areas that have been a little bit slower and may have built off during the quarter?
Matt Monaghan: More of the latter. In areas like respiratory or beds where demand has been strong, the inventory turned quite quickly. And so that’s not the consequence. It’s really about our relatively long supply chain. Because we have so many customized products which need a large variety of components to be ready for order and assembly, we couldn’t turn that off as quickly as orders came down. But the good news is having that inventory – and its good inventory for good products that we expect to be part of the recovery of the company – will allow us to readily fulfill demand as it comes back and hopefully be an especially good provider to our customers around the world. We have great responsiveness as a result. So we expect to liquidate that over the recovery period. It should be fine.
Brett Fishman: All right. And then just last quick one from me. Can you just provide the FX assumptions you’re using for the remainder of 2020 in the guidance just given how fast it’s been moving recently?
Kathy Leneghan: Yes. Our modeling has utilized the rates that were in effect at the end of Q2 of 2020. So that’s what we’ve modeled the second half of the year at assuming those rates – roughly, like the euro would be at like a $1.10. That’s roughly where we would be on. And its really probably the euro and the GBP – yes.
Brett Fishman: Okay. Thank you so much.
Kathy Leneghan: Thank you.
Matt Monaghan: Brett, thank you.
Operator: It appears there are no further questions at this time. Ms. Lee, I’d like to hand the conference back to you for any additional or closing remarks.
Matt Monaghan: Okay, Sarah. Thanks, everyone, for their time this morning. Kathy, Lois and I are available for any follow-up questions that you can coordinate through Lois Lee. Have a good day. Thanks.